Operator: Good day, and welcome to the Bilibili Fourth Quarter and Fiscal Year 2024 Financial Results and Business Update Conference Call. Today's conference call is being recorded. At this time, I would like to turn the conference over to Juliet Yang, Executive Director of Investor Relations. Please go ahead.
Juliet Yang: Thank you, operator. During this call, we'll discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could differ materially from those mentioned in today's news release and in this discussion due to a number of risks and uncertainties, including those mentioned in our most recent filings with the SEC and Hong Kong Stock Exchange. The non-GAAP financial measure we provide are for comparison purpose only. The definition of this measure and a reconciliation table are available in the news release we issued earlier today. As a reminder, this conference is being recorded. In addition, an investor presentation and a webcast replay of this conference call will be available on the Bilibili IR website at ir.bilibili.com. Joining us today from Bilibili senior management are Mr. Rui Chen, Chairman of the Board and Chief Executive Officer; Ms. Carly Li, Vice Chairwoman of the Board and Chief Operating Officer; and Mr. Sam Fan, Chief Financial Officer. I will now turn the call to Mr. Chen.
Rui Chen: Thank you, Juliet, and thank you, everyone, for participating in today's call to discuss our fourth quarter and 2024 year-end results. 2024 marked a pivotal year for Bilibili. We closed the year with our first GAAP net profit in the fourth quarter, while achieving solid growth across the board. We attribute these achievements to the unique proposition of our video community, the growing value of our user base and our enhanced commercialization efficiency. Looking at these in more detail. First, on our financial performance, we are very happy with the progress made in improving our overall financial metrics this year. Total revenues came in at RMB 7.7 billion in the fourth quarter, and RMB 26.8 billion for the full year, reflecting year-over-year increases of 22% and 19%, respectively, driven by continued improvements in our ad products and infrastructure. Our advertising business sustained strong growth, with revenues increasing 24% year-over-year in the fourth quarter and 28% for the year. Meanwhile, our mobile games revenues surged by 79% year-over-year in the fourth quarter and 40% for the year as we successfully expanded into the strategy game genre. The rapid growth of these high-margin businesses and improved operating leverage drove our Q4 gross profit margin to 36.1%, contributing to 68% year-over-year growth in gross profit. Building on these, we successfully achieved our first quarter of net profit on a GAAP basis at RMB 89 million, and our adjusted net profit reached RMB 452 million in Q4. While opening a new chapter of profitability, our community remains vibrant and highly engaged. In the fourth quarter, DAUs and MAUs reached 103 and 340 million, respectively, with users spending an average of 99 minutes daily on our platform. Our user base represents nearly 70% of China's Gen Z plus population with an average age of 25. They are the golden cohort of consumers with rising spending power and consumption demand. We are also seeing a growing desire among users for fulfillment and empowerment through high-quality video content. As the hub for the young generation, Bilibili is uniquely positioned to meet these evolving needs while unlocking greater commercial value. In addition, under the tailwind of fast-evolving AI technology, the rise of open source models, like DeepSeek is opening up new frontiers for innovation. These models will enable more companies like us to skip the demanding and capital-intensive process of developing a model on our own and build on the foundation to develop and implement solutions in a cost-effective way. In this context, high-quality and exclusive data assets are becoming increasingly significant. With our extensive accumulation of high-quality video content and rich community interaction data over the past decade, we are uniquely positioned to apply these AI innovations and fully unleash the potential of our community. Building on the momentum of 2024, we look forward to driving even greater value for our users, creators and stakeholders in the year ahead. With that overview, let's look at our core pillars of content, community and commercialization in more detail. Beginning with content and community, growing with our users continues to fuel the natural expansion of our high-quality content offerings. In Q4, our average daily video views exceeded 4.8 billion, up 14% year-over-year. On top of our dominance in ACG-related content, we have also built strong user mind share in pan entertainment and pan knowledge categories. Meanwhile, as our users enter new life stages, our content offerings are naturally expanding into broader lifestyle and consumption related areas. In 2024, video views in automotive and baby and maternity grew by nearly 40% and over 70% year-over-year, respectively. Content creators are also the cornerstone of our ecosystem. In January, we honored the top creators at our 2024 Bilibili Power Up Award Ceremony, recognizing their incredible talent and outstanding contributions to our community. This year's honorings covering over 100 million followers and spanning diverse categories are known for their high quality and fulfilling content. Over 90% of them have been creating content on Bilibili for more than 5 years. Notably, 36 out of the top 100 content creators were first-time winners. Meanwhile, we remain committed to empowering content creators to earn more income through our diverse commercialization channels, while pursuing their creative passion. In 2024, nearly 3.1 million content creators earned income on our platform. Content creators total income through our advertising products and VAS services increased by 21% year-over-year. Notably, our fan charging program has been a standout feature where creators' total earnings increased by nearly 500% in 2024. Turning to our community metrics. Our DAUs were more engaged and spent an average of 99 minutes per day on our platform in the fourth quarter compared with 95 minutes in the same period last year. Monthly interactions grew by 10% year-over-year, exceeding 15.5 billion. By the end of the year, our official memberships increased by 12% to 258 million, and their 12-month retention rate continued to be around 80%. Moreover, we were thrilled to close 2024 with our New Year's Eve Gala, the most beautiful night of 2024. The event once again proved a must-watch for young audiences, attracting over 230 million views. In addition, during the recent Chinese New Year holiday, we partnered with CCTV for the Spring Festival Gala. As its exclusive bullet chat live broadcasting platform and content partner, we offered a unique and interactive viewing experience for this iconic most watched TV event in China. On the day of the broadcast, our DAUs increased by nearly 20% compared with Chinese New Year's Eve in 2024. These community events have reinforced our leadership among China's young generation while expanding our appeal to a broader user group, bringing more people to our vibrant community. Now I'd like to talk about the progress of our commercialization in our business lines. First, we made some exciting headway in our advertising business. Our total ad revenues grew by 24% to RMB 2.4 billion for the fourth quarter and increased by 28% and to RMB 8.2 billion for the full year, both on a year-over-year basis. Ad revenue per DAU also increased by over 20% year-over-year for both Q4 and the full year of 2024. We attribute our industry-leading ad growth to the growing value of our user base as well as our improved ad efficiency. In 2024, we further opened our ecosystem to embrace more advertising opportunities while enhancing our add infrastructure, optimizing ad matching algorithms and upgrading ad products. These improvements fueled our strong and sustained advertising growth throughout the year, particularly in performance-based ad revenues, which grew over 40% year-over-year for the full year. Meanwhile, despite the challenging macro environment, brand and native ad revenues also saw double-digit year-over-year growth in 2024. As we gained deeper insights into our users' consumption preferences and patterns throughout the year, more advertisers turned to Bilibili to reach new consumers with better ROI. In 2024, the number of advertisers on our platform grew by over 30% year-over-year. Games, digital products and home appliances, e-commerce, Internet services and automotive were the top 5 industry verticals in the fourth quarter. With the recent macro stimulus policy, Bilibili played an important role in empowering [indiscernible] and home appliance advertisers to strengthen their brand equity, influence purchasing decisions and drive direct sales conversions. Additionally, we are attracting more advertisers from emerging verticals. In the fourth quarter, revenues from transportation and education advertisers grew by over 100% year-over-year. Looking ahead, we remain optimistic about our ad business growth as we are still in the early stages of unlocking the commercial value of our community. In 2025, we will continue deploying our best resources to build a more efficient ad platform and add products. Industry-wise, we will continue to explore opportunities in our leading game vertical, including the launch of Bilibili Mini Games and more. We will also actively pursue wider and deeper partnerships with consumer brand advertisers, connecting them with our high-value user base. Turning to our games business. Our games revenues increased by 79% to RMB 1.8 billion in Q4 and 40% to RMB 5.6 billion for 2024, both on a year-over-year basis. The growth was driven by our Hit Strategy Game, San Guo: Mou Ding Tian Xia, and contribution from our Japanese ACG title, [Foreign Language], which we launched in overseas markets in November 2024. Sanmo's sustained popularity gives us confidence in its long-term potential. DAUs remained stable across the first 5 game seasons through our focus on high-quality gameplay while carefully balancing commercialization. We will also enter into a sixth game season on February 22. As we expand its content and features, we believe more young players will be drawn to the SLG genre. Solidifying San Mou as one of our flagship evergreen titles, the game's success is also a milestone in our strategy to diversify game genres, highlighting the strength of our gaming community. We'll actively explore opportunities like San Mou to better serve the new generation of gamers. And finally, let's look at our VAS business. Revenues from our VAS business increased by 8% in Q4 to RMB 3.1 billion and 11% for the full year to RMB 11 billion, both on a year-over-year basis. During the year, both live broadcasting and premium memberships sustained healthy growth, with the gross margin for live broadcasting continuing to improve. By the end of the year, our premium memberships reached 22.7 million with over 80% on annual subscriptions or auto renewal packages. As we nurture a healthy live broadcasting ecosystem and a steady premium membership program, we continue to explore products and services uniquely suited to our community features. Notably, our newly introduced fan charging program, which allows paid users to access exclusive, high-quality videos from subscribe creators, attracted over 8 million participants in 2024. Revenues from the fan charging programs surged by over 400% year-over-year during the year, creating a new revenue stream for talented creators to monetize their content. The program's early success also highlights our platform's strength and our users' strong willingness to pay for quality content. In summary, building on our unique community and distinctive product offering, we will continue to unlock its full commercial potential, driving sustainable growth and increased profitability. We are also excited to ride the new wave of AI advancements and further expand beyond what we could have previously imagined. Above all, our core mission remains unchanged, to provide a space where creators and fans come together, connect through shared passion and enjoy the content and experiences they love. With that, I will turn the call over to Sam to share more financial details. Sam, please go ahead.
Sam Fan: Thank you, Mr. Chen. Hello, everyone. This is Sam. In the interest of time on today's call, I will review our fourth quarter highlights as Mr. Chen's remarks have touched on our full year results at a high level. We encourage you to refer to our press release issued earlier today for a closer look at our full year results. Throughout the year, we steadily improved our financials, showing the elasticity of our business and our ability to generate profits amid growth. We can see the fruits of our efforts in our fourth quarter results, showing continued revenue growth in our core high-margin advertising and games businesses, continued margin expansion and our first full quarter of GAAP profitability. Total net revenues for the fourth quarter were RMB 7.7 billion, up 22% year-over-year. Our total revenue breakdown by revenue stream for Q4 was approximately 40% VAS, 31% advertising, 23% mobile games and 6% from our IP derivatives and other businesses. Our cost of revenues increased by 5% year-over-year to RMB 4.9 billion in the fourth quarter, while our gross profit rose 68% year-over-year to RMB 2.8 billion. Our gross profit margin reached 36.1% in Q4, up 10 percentage points from 26.1% in the same period last year. Our strong gross profit and margin growth highlights the flexibility and the scalability of our business model. Our total operating expenses were down 10% year-over-year to RMB 2.7 billion in the fourth quarter. Sales and marketing expenses increased by 10% year-over-year to RMB 1.2 billion, mainly due to increased marketing expenses for our exclusively licensed games. G&A expenses were RMB 506 million, flat year-over-year. R&D expenses were RMB 919 million, down 31% year-over-year, mainly due to a one-off game termination expense in Q4 2023. Our operating profit and net profit turned positive to RMB 126 million and RMB 89 million for the fourth quarter, respectively, marking significant gains from year-over-year losses. Furthermore, our adjusted operating profit and adjusted net profit reached RMB 463 million and RMB 452 million, respectively. Our adjusted net profit ratio in the fourth quarter was 6% compared with an adjusted net loss ratio of 9% in the same period a year ago. Cash flow wise, we generated RMB 1.4 billion in operating cash flow in the fourth quarter and RMB 6 billion for the full year. We also recorded RMB 4.3 billion in free cash flow for the full year. As of December 31, 2024, we had cash and cash equivalents, time deposits and short-term investments of RMB 16.5 billion or USD 2.3 billion. In November 2024, we completed the repurchase rights offer for our December 2026 notes. After the completion of this transaction, the aggregate outstanding principal amount of April 2026 notes, 2027 notes and December 2026 notes was USD 13.4 million. Lastly, we announced a share repurchase program of up to USD 200 million in November 2024 for a 24-month period. The program underscores our commitment to enhancing shareholder returns and reaffirms our confidence in our business's cash flow generation. As of the end of the year, we had repurchased approximately 0.8 million ADRs under this program for a total cost of USD 16.4 million. Thank you for your attention. We would now like to open the call to your questions. Operator, please go ahead.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Lincoln Kong from Goldman Sachs.
Lincoln Kong: [Foreign Language] My question is about 2025. So afterward reaching breakeven last year, how should we think about our overall strategy into 2025? And we have seen an explosive opportunity for AI. How should we think about AI to integrate with our community?
Juliet Yang: So first of all, I would like to highlight that achieving both GAAP and non-GAAP profitability with a goal that we set around 2022. And looking at now we have very -- we are very glad that we have successfully reached ahead of schedule by end of 2024. Looking at 2025, indeed, is a brand-new chapter for us, and we will stick to the model that we have stick on in the past, which is content plus community. Now we have reached profitability and achieved a positive operation circle within our commercialization -- across our commercialization, and we'll add another engine to that business model and achieve sustainable, healthy community growth will be our ultimate target. And for this year, we'll stick to our mission to expand our margin, increase profitability and maintain a healthy growth of our community. We think about the strategy going beyond 2025, I would like to reverse the thinking behind how Bilibili can sustain a very healthy growth for the past 15 years. From a user perspective, high-quality content has been a irreplaceable positioning for Bilibili. This is also the same reason that our user has been using our platform for a very long time. We were thinking about the strategy going forward high-quality content or videos will be the center of all of our planning. And we believe the high-quality content is something that can transcend economic cycles and serves as a gateway to the next era of video industry. First of all I would like to touch upon high-quality content plus PUGV value. I believe that we have already entered an era where there's a very sufficient supply of video content, and probably, there's been -- the era of [indiscernible] consumption, the era has already ended. There's no -- will be no shortage of video content supply anymore, especially for short [indiscernible] video. And the future of video lies in the quality, not quantity and Bilibili has a strong user mind share of high-quality content. We have gathered the most talented content creator and the user who appreciate high content. We believe this is a common understanding across majority of the video users. And being the high-quality video content platform we will become even more competitive and then competitive advantage position in the next era of video market. And here, I'll give an example of one of our content creator, his name is [indiscernible]. He has been producing a series of food documentaries. And as a documentary producer ourselves, we know the competitive advantage of this material content creator, which he already earned over tens of millions of GMs through monetizing his documentary content. And from that example, you can tell that the users are very willing to pay for high-quality content and there is a great commercial value lies within the high-quality content. And the second point I would like to raise as the high-quality content plus our self-developed IP assets. I think everyone has been very impressed last year by the success of [indiscernible] and this year's blockbuster animate [indiscernible]. And those 2 success example further approved our argument that under this trend of oversupply of video content or content in general, the high-quality content has larger demand and people will be more inclined to work over the top content -- top quality content. And Bilibili ourself, we have built a strong portfolio of self-developed IP. For example, our original Chinese [indiscernible], A Mortal's Journey [indiscernible]. We have been running for 5 consecutive quarters, years and have become a well-established Chinese IP. And particularly last year in 2024, both its viewership and paid membership had record highs within our community, and we plan to continue to develop that type of high-quality IPs. And if you tell me that 10 years ago, the Bilibili highest viewership and paid membership and [indiscernible] would be a topic around the mortal to immortal type of topic, themes, I would be surprised. But on the second thought, this type of IP would have -- already have a large established viewer and similar to the -- journey to the West. So that is another supporting evidence that our users or user in general will appreciate high-quality content and reward it with much higher revenue. And I believe that Bilibili, as a platform and the center, the highest-quality PUGV platform, there will be more and more high-quality IP content emerged from our platform. And in no time, we should be able to produce those very high-quality and worldwide known IPs for the mass audience to see. And the last point I would like to raise is the power of the combination of AI plus high-quality content. I think everyone was very excited about the immerse opportunity that AI brings starting from 2 years ago, and that brings a lot of excitement and progress within every sector. And Bilibili's value lies within the era of AI is that we have the best Chinese video content and data assets across the world. And the evolvement of the large language model actually really need more high-quality data assets to unleash value. And Bilibili happens to the that place that continuous generate high-quality video content and the real-time user feedback towards that content. And for that perspective, it's the best combination with -- between Bilibili and the future AI opportunity. On top of the high-quality video asset data asset, another advantage that Bilibili has is that on top of the video content, we have a large mass number of high-quality comment and bullet chats, which generated by millions and millions of users who are -- which are just in sync with the video content itself, and for that part is really a go mine for the data assets for AI to train. And it continues to evolve with the emergence of open source and cost-effective AI model like DeepSeek, it makes Bilibili in a much better position to leverage that low cost AI model to further unleash and discover the value lies in the Bilibili data assets. And we have been doing a lot of tests in the past few weeks and months. There's a lot of surprise for us. I will be introduced more progress in the following quarters. Please stay tuned and we are very excited to share with you. All right. That concludes Mr. Chen's answer. Next question, please.
Operator: And now we're going to take our next question, and it comes from the line of Felix Liu from UBS.
Felix Liu: [Foreign Language] Congratulations on the very strong advertisement performance in 2024. Could you manage share more color on the driver for the strong 2024 advertisement growth? And for the advertisement outlook for 2025, what has management observed year-to-date from the advertiser sentiment, et cetera? And what will be the key focus point and [indiscernible] for your advertisement business in 2025?
Juliet Yang: Indeed that our ad business was performing very good in 2024. Total ad revenue reached nearly RMB 8.2 billion for the full year, marking a 28% year-over-year growth. That is among the highest growth rate across the industry. Notably, our high-margin performance-based ads saw over 40% year-over-year growth that's also driving a significant improvement in our overall gross margin for the advertising business. And that is a big plus to our overall gross margin on a group level as well. The success, the reason that drives our advertising revenue comes from two uniqueness that Bilibili platform process. One is the high-quality user base, and secondly is that we have strong mind share for strong content offering in terms of high-quality content. Those 2 reasons are the fundamental drivers for those advertisers to put at ads on Bilibili platform. In 2024, our users' average age bridged 25 years old, a stage of life where consumer demand grows rapidly. This makes Bilibili the most ideal and effective platform for advertise to -- advertisers to engage with young consumers based on our communication with various advertisers. It has been a consensus that Bilibili is a perfect platform to help connect and communicate with young generation. And it's also a very effective platform to influence young users' purchasing decisions. And we also attribute our success to our continuous improvement to our one horizontal and verticals commercial efficiency strategy and so regarding to the [indiscernible] one horizontal that refers to our ad infrastructure and add our product abilities, first of all, overall that in 2024, the number of advertisers grew over 30% year-over-year. We are attracting more advertiser across different industry to come to invest on our platform. And also, we improved our app product to attract more ad budget from different advertiser. For example, now in Q4, over 65% of native advertisers will also purchase the content promotion product on our platform, and that ratio was 50% a year ago. And moreover, AI played a very important role in helping to drive ad efficiencies with our AIGC tools that we are helping our advertisers to improve material creation efficiencies and overall click-through rate. Currently, AI participate in over 10% of ad material creation regarding to the covers and the titles. For that part, we saw a very significant improvement in the ad conversion rate. And let's touch based on the end verticals strategies. In 2024, Bilibili continues to secure more ad budget from key industries while also attracting new advertisers from emerging sectors. For the key industries such as games, in 2024, while solidifying our new game open beta testing budgets, we also continued to gain more shares from mini games budgeting. And recently, we launched Bilibili Mini Games program, which has gained a lot of traction and show strong momentum among our advertisers. And we believe that will be one of the growth drivers for our -- for us to continue to gain more shares within the game advertising sector. And secondly, on our e-commerce sectors, in 2024, we remain committed to the open-loop strategy, further strengthening our partnership with all the major e-commerce platforms. In the past Double 11 shopping festivals, our overall GMV increased by over 150% year-over-year, and Bilibili brought over 50% new consumers to the merchants for all participated industries. That ratio is very valuable under this very intensive competitive environment within the e-commerce industry. Another example would be in the digital products and home appliances sectors. As people know that the young users have very strong needs for digital products, and as the average age of our user entered 25, there's also a growing demand for home appliances as well plus with the national subsidy, the stimulation, within the home appliance sectors, we saw a very strong growth in the digital products and home appliances sectors. It contributes the highest incremental revenues in Q4 within our ad sectors. And we talked about what we have done in 2024, and we believe the advertising sector is a fully competitive market and requires real competitive edge to deliver real results in order to gain shares. If we are looking beyond -- looking at 2025 and beyond, what we need to do is continue to strengthen our advertising infrastructure and to drive efficiency. We remain overall optimistic and confident about the growth of our advertising business in 2025, and we expect to maintain above industry growth rate. That concludes Mr. Chen's answer, next question please.
Operator: Now we're going to take our next question, and it comes from line of Wei Fang from Mizuho.
Wei Fang: [Foreign Language] My question about your margins. The company's gross profit margin has reached 36% in Q4. How do you view the trends of the gross margin and net margin in 2025 and in the mid- to long term?
Sam Fan: This is Sam. thank you, Xueqing, I will take your question. Our profitability was mainly driven by gross profit and the gross profit margin expansion, which is healthy and sustainable. In Q4, our gross margin reached a record high of 36%, [indiscernible] consecutive quarters of improvement. The key contributors to this improvement include the rising share of high-margin gaming and advertising revenues. They now contribute over half of our total revenue account for 54% of total revenue in Q4. And our fixed life costs, including content, staff, server bank wide cost further declined their operation -- the portion of revenue from 25% in Q1 to 7% in Q4. Looking ahead, we expect the growth of revenue will continue having the steady margin growth -- gross margin expansion in 2025. Over the long term, we are confident that gross margin will reach 40% to 45%. On the expense side, our operating expenses as a percentage of total revenues declined 36% to 30% in 2024, and they have more room to further reduction in the future. We already achieved 6% operating profit non-GAAP basis in Q4. In the long run, our operating profit margin target remains 15% to 20%.
Juliet Yang: Operator, next question, please.
Operator: And the next question comes from the line of Lei Zhang from Bank of America Merrill Lynch.
Lei Zhang: [Foreign Language]
Juliet Yang: For us, the top priority for San Mou is long-term operation, as I discussed in the previous quarter. And we -- the target life cycle for this game will be at least 5 years. And based on the performances of the first 5 seasons, we think the team and the game has meet that requirement. And the game has consistently ranked among the industry best in terms of user engagement, retention and the revenue generation. That's why I feel quite confident for the next 5 years that San Mou will continue to contribute steady performances. And we are also confident that because SLG, by its nature, has a longer life cycle, the target that always bring to the team is that we're hoping to make San Mou a game that a player can play for a lifelong time. And that's why we -- whenever there is a new game season, the game will be back on the top [indiscernible] chart, at least top 10 [indiscernible] chart. And the reason why we are very confident is that we have the determination and also experienced and running a long life cycle game, for example, FGO, after 9 years of its launch, we still see a double-digit revenue growth for this game. Another game, Azure Lane, which is celebrating its eighth year anniversary, we continue to see the overall grossing improving year-over-year. That's why we are very confident and also determined to make San Mou a long lasting -- a long life cycle game. And because San Mou is also on the other hand, a new game, and we've -- we emphasize and very care about how -- what our players are seeing, we continue to listen to the player feedback on gaming experiences and mechanism and actively club -- collaborating the game developer to incorporate these insights and feedback and adjust the game accordingly. For example, in the game season -- upcoming games season 6 on February 22, a lot of the updates and improvement is made according to the user feedback. For example, we'll be launching a new map, new battle strategies and new skin system and also bring a new weather system to enhance overall gameplay. And we're also preparing for the major updates for this June, which is going to be the 1-year anniversary for San Mou. We're looking to bring a lot of significant updates to increase the game play and improve the overall game make shares for San Mou. Multi-platform expansion will also be 1 of the strategy for this game this year. Last Q4, we have launched the game on the PC portal. And this year, we're looking to bring this amazing game experience to multiple platforms and multiple scenarios to attract more users to enjoy the game. And for the second half of this year, the oversea launch will be one of the most important tasks for San Mou. But right now, we're focused on the development of the traditional Chinese version of San Mou to better serve the overseas players. We will refine the game experience, adjust the game ecosystem design to better fit to different countries' gamers' preferences. We're also hoping to make San Mou a favorite SLG strategy gain for young players overseas. That concludes Mr. Chen's question-and-answer session, and we can move to one last question. Operator, please go ahead.
Operator: And now we're going to take our last question for today, and it comes from an of Wei Fang from Mizuho.
Wei Fang: [Foreign Language] Now looking ahead for 2025, can you help share your thoughts on how to further expand our user base enhance your brand awareness? And also wondering if you could help comment more on maybe down from your partnership with CCTV New Gala?
Juliet Yang: Firstly, I'll talk about the partnership with the Spring Festival Gala, this year, for the very first time we partnered with CCTV's stream Festival Gallo, as its exit bullet chat live streaming platform. At the same time, CCTV also opened an official spring festival account on Bilibili, bring users the [indiscernible] from the past 42 years of the gala history. And our users are welcoming this content with great enthusiasm. So 40 years [indiscernible], so I've been watching spring fast will go up for 40 years. But I find out there's going to be new chemistry compared the high-quality content in the past with the young generation's feedback through bullet chat and commentaries is really sparks new content and new experience. And I'll talk about some of the results from this project. First of all, I would say, through this Spring Festival Gala project, we have achieved various targets. First of all, on the user front. On Chinese New Year Eve, Bilibili's overall DAU increased by 20% year-over-year compared to the New Year's Eve in 2024. As a platform with over 1 million DAU, 1 single project can bring 20% DAU increase, that's an amazing result. And second achievement is that we find bullet chats as a irreplaceable part of Bilibili's user experience. It's attracting a lot of user to come specifically for the unique bullet chat experience while watching Spring Festival Gala. During the live stream, total bullet chat exceeded 100 million. Another point is, Bilibili is well positioned to capture a highest quality content on a nation-wide basis because by itself, Spring Gala is high quality and unique content. Beyond live broadcasting, our user will come specifically to watch or to send bullet chat and commentary on Bilibili to gain exclusive and unique experience. And the success of this partnership have further solidify our judgment on Bilibili's positioning to host national-wide content and national-wide audiences. And our multi-screen, multi-scenario strategy and positioning has showed Bilibili's unique advantage in fan-viewing settings during the spring faster malls and especially for New Year's Gala, which is a high-definition horizontal format video content is very well suited for the big screen viewing. As a result, the OTT user growth exceeded our expectation during the partnership, and further reinforce our leadership and user mind share in the living room scenario. And another success example would be, one, is the program that was showed during the new year in gala is Bilibili's self-produced performance training [indiscernible], which become a phenomenal show on the New Year's Gala. That is the original song produced for our own show back in 2017, and we made it and put it on the New Eve Gala stage. It masked over 50 million views across platform, topped 183 trending list and surpassed tons of impressions. The success of this show also proves that Bilibili not only understand young people and also proved our ability to produce high-quality, nationally loved content on a wider stage. To summarize the partnership, the success of the the program shows that Bilibili can bring young generation to the national wide New Year's Eve Festival Gala, at the same time, increased our user base further expanded Bilibili name, and also become their integrated campaign within the Bilibili organization. On all the aspects, it has been a very successful project. And to answer your previous question, how do we expand our influence through the Bilibili brand is that to do projects like this. In the past, our most beautiful nights, the New Year's Gala, has been a very successful campaign to attract new users and improve our brand equities. And we've done the similar things among the graduation season. And for this year, we have tried out new partnership during Chinese New Year, and we'll continue to launch more Chinese New Year's campaigns like this one going forward. And this year, we're also looking to do campaigns, tailored targeted campaigns among summer vacations. We think this type of collaboration and projects will further help us to improve our brand equity, improve our brand influences, at the same time to facilitate our user growth strategy. That's all. Thank you. Turn back to you, operator.
Operator: And that concludes the question-and-answer session. Thank you once again for joining Bilibili's Fourth Quarter and Fiscal year 2024 financial results and business update conference call today. If you have any further questions, please contact Juliet Yang, Bilibili's Executive IR Director, or Piacente Financial Communications. Contact information for IR in both China and the U.S. can be found on today's press release. Thank you, and have a great day.